Operator: Ladies and gentlemen, thank you for standing by and welcome to the Pacific Ethanol Inc. Third Quarter 2020 Financial Results Conference Call. At this time, all participants’ lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your host, Moriah Shilton, with LHA Investor Relations. Please, go ahead. 
Moriah Shilton: Thank you, Sarah, and thank you all for joining us today for the Pacific Ethanol third quarter 2020 results conference call. On the call today are Mike Kandris, CEO; and Bryon McGregor, CFO. Mike will begin with a review of business highlights. Bryon will provide a summary of the financial and operating results and then Mike will return to discuss Pacific Ethanol's outlook and open the call for questions. Pacific Ethanol issued a press release yesterday, providing details of the company's quarterly results. The company also prepared a presentation for today's call. That is available on the company's website at pacificethanol.com. A telephone replay of today's call will be available through November 17, the details of which are included in yesterday's earnings press release. A webcast replay will also be available at Pacific Ethanol's website. Please note that the information in this call speaks only as of today, November 10. And therefore, you are advised that time-sensitive information may no longer be accurate at the time of any replay. Please refer to the company's Safe Harbor statement on slide two of the presentation available online, which says that some of the comments in this presentation constitute forward-looking statements and considerations that involve a number of risks and uncertainties. The actual future results of Pacific Ethanol Could differ materially from those statements. Factors that could cause or contribute to such differences include, but are not limited to, events risks and other factors previously and from time to time disclosed in Pacific Ethanol's filings with the SEC. Except as required by applicable law, the company assumes no obligation to update any forward-looking statements. In management's prepared remarks, non-GAAP measures will be referenced. Management uses these non-GAAP measures to monitor the financial performance of operations and believes these measures will assist investors in assessing the company's performance for the periods being reported. The company defines adjusted EBITDA as unaudited net income or loss attributed to Pacific Ethanol before interest expense, provision or benefit for income taxes, asset impairments, loss on extinguishment of debt, purchase accounting adjustments, fair value adjustments and depreciation and amortization expense. To support the company's review of non-GAAP information later in this call, a reconciling table was included in yesterday's press release. It is now my pleasure to introduce Mike Kandris, CEO. Mike? 
Mike Kandris: Thank you, Moriah, and thank you everyone for joining us today. I'm excited to be with you this morning to review the transformation PEI is undertaking to successfully reposition the company to produce profitable sustainable results. In the third quarter, we generated net income of $14.9 million and adjusted EBITDA of $34.1 million. On the call today, I'd like to cover three areas. First, I'll provide an overview of the company. Second, I'd like to explore in greater detail the industry and markets. And finally, I'd like to provide some additional details around our growth strategy. For the overview, I feel it is important to emphasize that we have leveraged our strengths to transform PEI into a leading producer of specialty alcohols and essential ingredients. In addition to renewable fuel, we are focused on three key markets: health home and beauty; food and beverage; and essential ingredients. These are stable growth markets generating strong demand for our products that we sell to blue-chip customers and well-known household brands. Although, most people, when they consider alcohol, think of either beverage or renewable fuel, these are the highest and lowest grades respectively. There are actually many grades in between and a diverse number of applications in which they are used. At our Pekin, Illinois campus, we produce multiple grades of alcohol that are then used in various consumer products that touch our lives on a daily basis. These include products that we consume, like spirits, medicines and vinegar; products that we use in applications like cleaning supplies, paint and fertilizer; and products applied topically like perfumes or hand sanitizers, which uses United States Pharmacopeia-grade alcohol. USP-grade alcohol has certainly been in the news since March, as it is used in hand sanitizers, disinfectants and cleaning supplies. We have been providing USP-grade product for hand sanitizer for a long time and our customers know we follow strict guidelines and are uniquely positioned to meet the precise consumer product specifications for each grade of alcohol we sell. Few other manufacturing facilities have this capability. It is an advantage that we use to strengthen and deepen our customer base, including major food, beverage and consumer product companies. As mentioned last quarter, we are finalizing the refurbishment of our existing Grain Neutral Spirit or GNS system located at our wet mill. When complete, it will produce an additional 30 million gallons of our highest quality product, which is the core ingredient used in the production of distilled spirits. Combined with the 110 million annualized gallons we are producing today, by the end of 2020, we will have increased our total annual capacity of specialty alcohol to 140 million gallons, the majority of which will meet or exceed USP specifications. This will be an increase of 65% compared to annual capacity of 85 million gallons in 2019. In addition to specialty alcohol and renewable fuel, we also produce essential ingredients for use in high-protein applications for beef, dairy, aquaculture and poultry feeds; and in food like edible oils for consumption by people and pets. As an example, we produce a high-value distillers yeast, an important ingredient used in the production of pet and human food. Our unique product is in great demand given its protein and flavor-enhancing characteristics. Our yeast is produced in an AIB International-inspected facility and is Kosher-certified. To put our refined business focus in context, I would like to remind everyone of our history, especially for those investors who may be new to our story. Pacific Ethanol was founded 17 years ago as a West Coast renewable fuel company to meet the demand for low-carbon renewable fuel. We subsequently expanded our operations regionally by acquiring production in the Midwest and broadened our offerings with the addition of high-protein feed products and distillers yeast for sales into the food industry. We further diversified into specialty alcohol sector in July of 2017 with our acquisition of Illinois Corn Processing that we refer to as ICP. ICP is adjacent to our Pekin wet mill, dry mill and yeast plant, and in fact, is separated only by a service road. We have now integrated the facilities into a single campus, creating significant synergies including favorable logistics that allow us to ship product by rail, truck or barge. Through this unique combination, we can more efficiently produce specialty alcohol, high-protein feed, distillers yeast and renewable fuel. And having established a more diversified platform, we were able to adapt to changes in markets to meet changing customer needs. This is evidenced by a change in both the amount of specialty alcohol sold and a material reduction in the amount of renewable fuel produced and sold. In the first nine months of 2020, specialty alcohols contributed approximately 45% of our revenues compared with only 15% for all of 2019. This excludes sales of third-party renewable fuel marketed by our Kinergy subsidiary. Equally, it has minimized our exposure to markets that have recently seen overproduction and demand destruction. Let's now review the specialty alcohols markets that PEI serves. While it represents a more niche market, specialty alcohol is integral to the production of adverse number of end products driven by consumer demand rather than regulatory mandate. Specialty alcohol prices typically exceed prices for renewable fuel, which provides an opportunity to earn higher margins than in the fuel market. Several factors materially contribute to the reason for these premiums. Chiefly, these products require additional equipment and processes both for production and quality assurance as well as technical know-how. Further, customers are focused first and foremost on quality and consistency. And finally, specialty alcohols are not quoted commodities like fuel, and generally do not trade in the spot market. Consequently, our customer contracts tend to be longer-term arrangements with negotiated fixed prices based on customer requirements for volume and quality. To put the pricing in perspective, historically the higher the quality of the product, the higher the price relative to renewable fuel, there are, of course, periodic exceptions to this. A perfect example is pricing for alcohols used to make hand sanitizers and disinfectants. As demand materially outstripped supply in the first months of the COVID pandemic, spot prices for this product significantly exceeded prices for more premium products. While the hand sanitizer segment of the market continues to be highly dynamic, spot demand has decreased and so too prices have come off the peak seen in the second quarter. Nevertheless, specialty alcohol premiums to renewable fuel currently remain greater than historic averages contributing to our optimistic outlook for 2021 and beyond. To this point, there are two particular market drivers I'd like to mention that give rise to our optimism. The first is the increasing use of alcohol-based sanitizers as a result of COVID-19. We have seen significant increases in demand for specialty alcohols that go into sanitizers and disinfectants such as Germex and Lysol that are being used in hospitals, restaurants, offices, and schools. We believe that when everyone starts to go back to the office or dining out or even concerts, sanitizer and disinfectant demand will remain strong because people will use these products frequently outside of their homes and businesses will be required to provide sanitary social environments. With continuing need for sanitizer products, we expect the demand will continue to have strong tailwinds. A second long-standing tailwind is the continued growth in distilled spirits consumption. As I discussed earlier, we are adding 30 million gallons of GNS production capacity in the fourth quarter to meet this rising demand. To wrap-up on markets, I'd like to affirm that we will continue to produce and market renewable fuel. While the last few years in the renewable fuel market have been challenging, we are now seeing some signs of improvement. Turning to our growth strategy. In the near-term, we are broadening our addressable market by obtaining enhanced certifications. In October, we obtained our ISO 9001 certification. That is the world's most widely recognized quality management system certification. We also are pursuing two additional certifications; ICH Q7 which sets forth good manufacturing practices for active pharmaceutical ingredients; and Excipact, which sets standards for excipient safety and quality. We expect final audits for both these certifications by the end of 2020. We have committed significant human and financial resources to obtain the highest certifications available. With the consultation and support of our customers, we are further differentiating our offerings to strengthen our quality assurance programs and procedures. This will be important domestically as the market raises the bar on product quality requirements and internationally to provide product to a growing export market. In addition there are many attractive investment opportunities in our portfolio that we can now undertake with the support of our strengthened balance sheet. For example we are investing in the expansion of the capacity of our yeast facility increasing its annual production by approximately 15%. We are starting the project this quarter and expect to complete it in Q3 of 2021. The project will require relatively low capital investment of $5.5 million and is expected to produce a payback in less than two years. We also are actively pursuing a strategic realignment plan through selling or repurposing our Western renewable fuel plants. We took the first step with our announced sale of 134 acres the rail loop and grain-handling assets at our Magic Valley plant in Burley Idaho for $10 million. The sale is expected to close on or before the end of this month and the proceeds will be used to prepay debt. We are pleased we were able to monetize idled assets at an accretive value. We will retain the alcohol production facility and terminal on the remaining 25 acres and we'll provide grain-handling operations and maintenance services to the acquirer of the grain-handling assets. We will continue to update you on other initiatives to repurpose or sell our Western assets. I'll now turn the call over to Bryon to review the financial results in further detail. Bryon?
Bryon McGregor : Thank you, Mike. For the third quarter of 2020, net sales were $205 million compared to $212 million in the second quarter the decline resulting from the reduction in production gallons sold due to the anticipated Illinois River closure in the third quarter. Net sales were down by $161 million as compared to the same period in 2019 reflecting the idling of most of our renewable fuel production. We have filled most of our renewable fuel commitments through third-party trading resulting in no material change in third-party gallons sold year-over-year for the same period. Cost of goods sold was $184 million which resulted in gross profit of $21 million compared to a gross profit of $31 million in the prior quarter. The decrease this quarter reflects the significant logistical constraints we experienced by the anticipated Illinois River closure requiring greater use of less cost-effective modes of transportation like rail and truck that translated into higher than typical costs. Completion of the lock repairs in mid- to late October by the Army Corps of Engineers was approximately 30 days beyond the original anticipated date. Cost of goods sold also included approximately $4.5 million in gross loss associated with our idled production. We expect these costs to be lower going forward as we implement our strategic initiatives and repositioning or monetizing the idled facilities. SG&A expenses were $6.4 million compared to $8.6 million in the second quarter, reflecting our ongoing cost-cutting efforts, particularly related to professional services. As previously noted, we expected general SG&A expenses to be lower in the second half of 2020 and we continue efforts to resolve our remaining debt issues and further reduce professional costs. Income available to common shareholders was $14.9 million or $0.24 per diluted share compared to income of $14.6 million or $0.27 per share in the second quarter. Adjusted EBITDA was positive $34.1 million up from $28.8 million in the second quarter of 2020. Included in third quarter EBITDA was $11.8 million from a settlement in favor -- in our favor of a commercial dispute. We are reaffirming our second half of 2020 guidance of adjusted EBITDA between $50 million and $70 million and $66 million and $86 million for the full year. Regarding 2021 the majority of our specialty alcohol production has already been contracted at fixed prices for terms of one year or more. We look forward to providing our outlook for 2021 when we report our fourth quarter and year end 2020 results. Turning to our balance sheet. At September 30, 2020 our cash and cash equivalents were $38.7 million compared to $29.8 million at June 30, 2020. For the quarter we reduced our total debt outstanding by $29.3 million, a combination of $23 million in our term debt and $6.3 million in our lines of credit. As a result, we have reduced our net debt by approximately $100 million from December 31, 2019 to September 30, 2020 and we have the potential to be net debt-free in 2021. Subsequent to quarter end, we closed an underwritten public offering of common stock in concurrent private offering of warrants for initial total proceeds of approximately $70 million -- $75 million. Integral to the private warrant issuance is the company's sole right to determine if in the money warrants will be exchanged cashless in a net share settlement or for cash. This option will allow us to assess in the future if it would be better for us to use the cash proceeds or to instead minimize dilution and exercise our cashless settlement option. We intend to use the net proceeds of approximately $70 million to reduce debt and for general corporate purposes repaying a portion of our senior notes and term loans which have interest rates of 15% and 7%, respectively. Using proceeds from the equity offering is expected to be accretive to 2020 earnings per share on a pro forma basis. Selling equity when we did at a favorable stock price was both timely and necessary. We considered all available alternatives beforehand and concluded that we should seize the opportunity presented by the capital markets to act to accretively resolve our long-standing lender issues, bolster our balance sheet, reestablish normal credit terms with our vendors and suppliers and give comfort to our customers. Further the dramatic improvement in our cash resources allows us to better focus on and accelerating our investment in profitable growth initiatives. With that, I'd like to turn the time back to Mike. 
Mike Kandris: Thank you, Bryon. Before we open up the call for Q&A, I'd like to highlight three key takeaways from our prepared remarks. First PEI is transforming to a stable high-margin business. We have already successfully transitioned production to approximately 50% specialty alcohols. As previously mentioned, we are focused on the health, home and beauty, food and beverage, and essential ingredients markets. These are well-established markets that will continue to see long-term demand. We are investing in quality assurance and certifications to expand addressable customers and markets. And we expect long-term tailwinds from continued growth in demand for specialty alcohols and essential ingredients. Second, we are improving our balance sheet while employing disciplined conservative financial policies. And third, with our strengthened balance sheet, we are now able to move towards executing on investment opportunities in our portfolio, the first of which is the expansion of the processing capacity of our yeast facility. We believe there are multiple projects with attractive return on investments and we look forward to updating you as we take further steps. I'll leave you with that and ask the operator to open the Q&A for questions. Operator? 
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Eric Stine with Craig-Hallum. Your line is now open. 
Aaron Spychalla: Yes. Good morning, Mike and Bryon. It's Aaron Spychalla on for Eric. Thanks for taking the question.
Mike Kandris: Good morning, Aaron.
Bryon McGregor: Hi, Aaron.
Aaron Spychalla: Hello. Maybe first on the specialty alcohols really great information you've kind of put in your recent slide deck. At a high level, can you just kind of give some color on just how the production breaks down between those various buckets and just some kind of ranges on ASPs within those buckets? And then maybe just talk a little bit about, how you think about the trade-off between pricing and contract duration as you look at those areas?
Bryon McGregor: Yeah, Aaron. So we don't actually provide that level of detail. I guess, what I would say though is as you can imagine that there's probably in relation to pre-COVID that, there's a significantly higher balance that's going to hand sanitizers and disinfectants at the moment. That being said, there is a significant portion of those specialty alcohols going both across the spectrum from industrial up through GNS or effectively beverage-grade alcohols. And then I think your second part of your question was what is the nature of those contracts? Those contracts industrial to some degree maybe a little bit shorter. Those are as an example industrial for export. Those maybe in shorter nature, but the rest of the other specialty alcohols are usually six months to a year or longer.
Aaron Spychalla: Okay. Understood. Thanks for the color. And then just as we think about the vaccine news yesterday and Mike you had some commentary in your prepared remarks on your thoughts on demand. I mean, what are you hearing from your customers on how they're thinking the demand picture looks like as we head into next year and beyond? Hearing from a few of them it sounds like it's something that they think is going to be here for quite some time>
Mike Kandris: Yeah. I would say, Aaron that the – what we're hearing from our customers, of course, everybody is trying to figure out what the new normal is going to look like going forward. The indications that we have received back from our customers, they feel that there is going to be a definite shift in the demand going forward. People are going to – even with a vaccine people are going to be more sensitive to what we've just gone through. And I think you'll see that in the way rental cars are treated now, what hotels and motels are going through schools. Any kind of a social environment, I think people are going to be very cautious. So what we're hearing from our customers is there's still going to be increased demand. What that ultimately ends up with we're not sure. And that's one reason why we're not just solely focused on that segment of the market with specialty alcohol. We're really looking at a whole variety of consumer products and part of the motivation, with the certifications is to make sure that, we can continue to develop further places for our specialty alcohols. 
Aaron Spychalla: Okay. And then maybe last for me just on the reinvestment opportunities good to see the balance sheet improve being able to deploy some capital there. Are there any other examples, you can give? And just maybe some color on the capital investment maybe required and payback periods for any of those opportunities as well?
Bryon McGregor: Yeah. So I think Mike gave a couple of them. Clearly, the GNS system, which was – you're looking at about $6.5 million $7 million of expenditure that we'll complete – effectively completed this year. In addition, you've got another $5.5 million associated with the yeast – I guess, I'd call it, the first of what could be a series of expansion or capacity expansions at our yeast facility. There's also, I think it's fair to represent that, there's a number of pent-up projects and opportunities that are available just within our own system that, we've not been able to invest capital in, and to if you will exploit given the difficulties in the transportation fuel market for the last three or four years, and where we've had to redeploy capital, instead into debt repayment and the like. We haven't – I guess, there is also opportunities to think about, if you would capturing more of the value chain and providing some of those services differentiating with it how you deliver product. We are a both deliverer of product, right? We ship by rail, truck and barge. And to be able to supply product in smaller packages and the likes is an interesting opportunity. But until, we actually have committed projects, we're going to withhold describing specifically what we intend to do. And hopefully, we'll be able to give you some color on our next call about 2021, where we're going to reinvest dollars and return. But I would say, finally that, if we're looking at projects that have less than two-year paybacks that that's a very accretive return on investment for shareholders and for the company.
Aaron Spychalla: All right. Okay. Okay. We’ll stay tune there. Thanks for taking the questions. I’ll hop back in queue.
Operator: Thank you. Our next question comes from the line of Amit Dayal with H.C. Wainwright. Your line is now open.
Amit Dayal: Thank you. Good morning, Mike. Good morning, Bryon.
Bryon McGregor: Good morning, Amit.
Mike Kandris: Hey, good morning.
Amit Dayal: With respect to some of your debt burden quarterly debt burden how should we think about how this will play out in 2021 relative to 2020? I mean, if you could give us a sense of how maybe we should be modeling it? And I know you said we would be potentially net debt free. But in terms of how we should potentially model this on a quarterly basis, if you could give us some direction?
Bryon McGregor: I guess what I'd say generally is it does us no good to have cash on our balance sheet and debt on our balance sheet that we're paying 7% and 15%. So we're working quickly with our lenders to repay that debt as much as possible in a rational way and address any remaining issues. So I guess, I would say is, if things align the way we'd like to, I would expect that most of that debt will be repaid on or before year-end. There may be still some residual and we'll address that in 2021.
Amit Dayal: On or before year-end 2020 or 2021?
Bryon McGregor: Yes. Sorry. So yes, we should address it before year-end or by year-end this year. And then we'll have a residual maybe running into 2021. But that would not be -- that's related to the term debt not necessarily to our functioning and productive low-cost working capital line of credit.
Amit Dayal: Understood. Thank you for that, Bryon. Are there any additional onetime potential gains that may play out in the fourth quarter?
Bryon McGregor: Additional gains. Well as Mike mentioned, we're working on -- we want to clearly monetize or reposition our Western assets. And so as I think we noted, you can see that we had -- we incurred about $4.5 million of cost associated gross loss on the quarter for those assets. So it's not -- idling these plants is not a cheap alternative and certainly the least cost alternative at the moment as compared to returning them to operation. But given current margins for most of those plants except for the dry mill at Pekin which would be profitable. But it certainly makes sense for us to either -- to be quick and resolute about what we're doing on those with regards to those plants.
Amit Dayal: Understood. And then with respect to sort of the outlook for 2021, it looks like you have some visibility on the pricing you may receive. Is the variability going to come from the volume side, especially related to products you're supplying into the sanitizer market et cetera?
Bryon McGregor: Yes, I think that's fair. I mean, clearly the contracts are for volumes and price. But as Mike mentioned earlier that our customers are -- have expectations. They are working as well with their final consumers and/or outlets retail outlets and the like. But it wouldn't do anyone any good as an example to force customers to take product that hasn't yet cleared the shelf to make room for it. So really, I guess the way that we would think about it is that if as an example there wasn't as much volume as we otherwise contracted for that that would be pushed into 2022. So it's not a question of if, but when and how you work with customers and good business practices. I guess you could hold your customers be to the fire, but that wouldn't be particularly productive, nor would it be a long-term type of relationship building.
Amit Dayal: Understood. Just last one from me. Could you give us some color on what margins will look like once the yeast business has been sort of invested in? And would this be sort of accretive to current levels of margins we are seeing?
Bryon McGregor: Yes. I mean, I think what we've often indicated is if you look at our yeast product, it's in multiples of what you would otherwise make on a dry distiller grain basis. Somewhere between call it -- if you're paying -- if you're earning at $100, 10 times that for the yeast. Now you're not generating that same kind of volume product. But that being said I think you can probably do the math, if we're going to spend $5.5 million and it'll pay back in less than two years, it kind of gives you an idea of our 15% increase in that yeast product the benefits of doing that. You certainly hear in the space a lot of discussion amongst renewable fuel producers and ethanol producers of looking to high grade and take advantage of these -- what is effectively a protein-deficit in the world, right? And so there's opportunities to continue to produce that protein. And if you can produce more of that from these facilities that's a real winner. And the benefits that we have is we have a wet mill right now that while it's unique or generally unique in the space it -- and it provides great co-product return for our company that there's still opportunities to be more efficient in what we do with that volume. And then as well again to reposition our dry mills to be able to take advantage of some of those additional protein values.
Amit Dayal: Understood. Thank you guys. That’s all I have. Appreciate it.
Bryon McGregor: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Hamed Khorsand with BWS Financial. Your line is open.
Hamed Khorsand: Hi. So I just wanted to first ask, the majority of the contracts you've entered into for next year is that based off of 140 million gallons or 85 million gallons?
Bryon McGregor: Yeah. It's based off a higher capacity.
Hamed Khorsand: Okay. And then, on the competitive landscape, you guys have talked about -- a lot about, the specialty alcohol business seeing less and less competition, because of the FDA rules. Is that changing pricing at all for you?
Bryon McGregor: Is it changing pricing? As Mike mentioned, in the prepared remarks, you're certainly not seeing the prices that you saw what was otherwise, in a supply-deficient high-peak period. That being said, we're still seeing prices that are on average above those that we've seen historically. So I think that's being captured across the value chain, of the various specialty alcohols. And then, it of course is a dynamic, right? It changes from day-to-day right? We have the vaccine. We have vaccines that are no longer approved. They're going to take longer. They're going to take shorter. You've got a product that's sitting on the shelf that all of a sudden is no longer accepted, because of changes in regulations. So you effectively have customers, now that are really demanding higher-quality product. They're not waiting for regulatory changes or relief. They're saying, we want the lower-quality products to be off-the-shelf and demanding basically the higher-quality products the USP-grade product going forward.
Mike Kandris: Yeah. I would just add to that -- Oh! excuse me, that in addition to what's going to happen in the hand sanitizer market, a lot of the things that we're doing to position the company really are to look at different consumer products and really broaden our reach. If you look back even into 2019, our specialty alcohols that we were producing the 85 million going into this year, going into 2020 was a profitable -- was a good margin business. And again, what we saw when -- in Q2, when everything spiked, there was a soft market that took that up substantially. But we really are focusing on the longer term to look at a variety of consumer products. And making sure that, we're positioned with our alcohol -- specialty alcohol production that we can tap into a variety of markets, not just hand sanitizer.
Hamed Khorsand: Okay. And how fast, would you be able to change your composition of different alcohols, given if demand changes up on you?
Mike Kandris: We have tremendous flexibility, in our production. And the other thing that we're doing, is making sure that all of our production can meet very high standards and -- to give us that flexibility. And with GNS [ph] that is the highest-quality product that we can produce. And we'll have expanded capability in that area also.
Bryon McGregor: And Mike, this is Bryon. Just one thing I'd mention, as well is maybe to bring to the point, is as Mike mentioned we were producing in 2019, around 85 million gallons. That was pre-COVID right? And so hand sanitizers made up a relatively modest portion of that business. And we certainly expect to not only continue to produce that. And it's not as if demand significantly diminished on that product, it's just that you saw a spike in what was otherwise a fairly small portion of the specialty alcohol market for hand sanitizers. So you certainly can make -- have the benefit of that but also you still have the business and the desire and the opportunity to continue to expand in the other areas.
Hamed Khorsand: Okay. Great. Thank you.
Bryon McGregor: Okay. Thank you.
Operator: Thank you. This concludes today's question-and-answer session. I would now like to turn the call back to, Mike Kandris, CEO for closing remarks.
Mike Kandris: Thank you for joining us today. We are very proud of the progress we have made so far. And fully believe, with our refined focus on products and markets with strong growth trends, this will enable us to deliver greater and more consistent profitability for our shareholders. We will be at two upcoming virtual investor conferences, Stifel on November 12 and Craig-Hallum on November 17. And we look forward to continuing our dialogue, as we make further progress. Again, I want to thank everybody for your support of Pacific Ethanol. And have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.